Operator: Good afternoon and welcome to the Alliance Data Third Quarter Earnings Conference Call. At this time all parties have been placed on a listen-only-mode. Following today’s presentation, the floor will be opened for your questions. At that time if you would like to ask a question (operator instructions) It is now my pleasure to introduce your host Ms. Julie Prozeller of FTI consulting. Ma’am the floor is yours.
Ms. Julie Prozeller: Thank you, operator. By now you should have received a copy of the Company's third quarter 2011 earnings release. If you haven't, please call FTI at 212-850-5721. On the call today we have Ed Heffernan, President and Chief Executive Officer and Charles Horn, Chief Financial Officer of Alliance Data and Brian Kennedy, President of Epsilon. Before we begin, I’d like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and the uncertainties described in the Company's earnings release and other filings with the SEC. Alliance Data has no obligation to update the information presented on the call. Also on today's call are speakers who will reference certain non-GAAP financial measures, which we believe will provide useful information for investors. A reconciliation of those measures to GAAP will be posted on the Investor Relations website at www.alliancedata.com. With that I'd like to turn the call over to Ed Heffernan. Ed?
Ed Heffernan: Thanks Julie. Alright! Why do we just dive in here? Joining me today again is the ever popular Charles Horn and our main man at Epsilon, Bryan Kennedy who is President and we are just dive right in. Charles?
Charles Horn: Thanks Ed. It was another strong quarter, a record quarter. Momentum continues to build as all three segments reported double-digit revenue and adjusted EBITDA growth. Consolidated revenue increased 20% to $845 million. As previously discussed, all three businesses achieved double-digit revenue growth with Epsilon increasing to 46% compared to the third quarter of 2010. Core EPS increased 39% to $2.16 considerable beating the company’s guidance to the $1.85 for the quarter while GAAP EPS increased and even better 67% to $1.60 per share. Both increases were achieved despite a $3.6 million share increase and diluted share count due to phantom shares associated with our convertible notes. A reminder, phantom shares were covered by economic hedges with counter parties. The company has no obligation now or in the future to issue these shares. Adjusted EBITDA increased 29% to $283 million, while adjusted EBITDA net of funding cost increased an even stronger 47% to $247million. Funding cost benefited from a $9 million mark-to-market gain on the interest rate derivatives. As discussed in our earnings release this benefit of approximately $0.09 was excluded from core EPS for the quarter. In summary for the third quarter, we more than achieved our targets of double-digit revenue, adjusted EBITDA and EPS growth. Let’s move on to LoyaltyOne on the next page. Overall LoyaltyOne had a strong third quarter with results exceeding the expectations. Notably, Revenues increased to 8% if you take off the foreign exchange translation gains. Adjusted EBITDA increased 22%, again excluding foreign exchange translation gains. And adjusted margins for Canada grew to a robust 29%. In addition miles issues grew 9% for the third quarter, the strongest quarter of the year that’s far. The issuance growth is attributable to three main areas. The first is favorable spend levels on credit card products combined with robust acquisition for premium cards. Second, the signing of several new specialty retail sponsors earlier this year continue to drive positive issuance momentum. Third, is one-to-one marketing initiatives that have increased customer or collector engagement and expanded promotional activity with key sponsors. All three are keeping the AIR miles reward program well on track to meet or exceed mid-single-digit issuance growth for the year. Lastly, miles redeemed increased 3%. The Burn-Rate defined as current period redemptions over current period issuances was 71% in line with our expectations. As we have talked about for years, the AIR miles reward program is a dynamic program whereby we routinely make program changes the enhance the value preposition of the program, but also meet certain program designs. In the later case, this means marginally the redemptions to keep it tracking forward the ultimate redemption rate of 72%. Our current cumulative redemption rate is about 60% moving up 1-2% per year, trending consistent with our expectations. In summary, all of the trends are favorable below if you want. Let’s turn to the next page. In our last earnings call we outlined three initiatives for the Dotz loyalty coalition program in Brazil. The team has delivered on each of these initiatives to propel the growth of this program. Let’s review the three initiatives and early results. One, we launched Dotz Banco do Brazil, its national anchor sponsored this first quarter. Conversion of a portion of Banco’s $20 million accounts has begun and we have already met near term expectations. We are on track to exceed $2-$3 million accounts by the end of 2012. Two, we’ve rolled out the second coalition market, with is Brasilia. This market has over 200 locations issuing Dotz. This is a continuation of our commitment of a phased and measured roll-out of market throughout Brazil. We continue to monitor our results to align future market expansions with financial and strategic considerations. Three, we continue to sign a renew agreement with high frequency partners in all major categories including grocery. These signings facilitate our ability to achieve and exceed our desired enrolment and issuance metrics by year end. During the quarter, we increased our ownership share in Dotz entity to 37%. In addition we maintain our goal for Dotz to reach EPS secretion towards the end of 2013. We continue to look for opportunities to make similar, measured investments in other attractive markets. Our investments in Directions Global Solutions in the second quarter has boosted our activity towards a pilot launch in India. Moving on, Bryan Kennedy is with us to give you an update on Epsilon.
Brian Kennedy: Alright. Thank Charles. Solid results at Epsilon this quarter and now with the full effect of Aspen and our numbers, we produced a record again for top and bottom line results. When compared to the third quarter of 2010, revenue grew to $248 million or 46% while adjusted EBITDA increased to $59 million up 33%. So if back out the benefits that Aspen contributed, organic growth was moderated a little primarily by softness in data, while adjusted EBITDA was up 6% for the quarter. However, year-to-date with three-quarters of 2011 in the books, Epsilon has produced very strong organic growth 15% top line, 13% bottom line continuing to show excellent strength and momentum. So breaking down the business lines first, database and digital put in a very healthy 15% growth in revenue, continuing in a trend of strong double-digit momentum. This business line just as a reminder include large outsourced marketing platform that Epsilon operates to drive measurable data driven clients marketing programs across multiple consumer channels. It contains to be fueled by key new relationships such as catalogues, along with growth and existing clients in four verticals including financial services, retails, consumer package goods and pharma. In addition, digital volumes which is permission based email marketing have contributed to growth up double-digits again over prior year. Secondly, data comprise of Epsilon’s rich information asset including demographic, transactional, behavioral and psychographic attributes on consumers and businesses principally in the US. This segment was down 3% relatively flat in spite of headwinds late in Q2 that carried into Q3 as clients pulled back on volumes in light of soft results in the summer, mixed with some concerns stemming from market volatility and broader macro trends. In spite of the softness among the consumer prospecting budgets, we continue to see strength and potential for our integrated data assets among loyalty marketers and also in many of the emerging digital channels. And then finally agency analytics. The last business line which includes Aspen marketing services grew from $24 million to $89 million over 35% of Epsilon revenue for the quarter bringing strong growth and promising new presence in the automotive and tele-convertibles, as well as strengthening our footprint in consumer package goods and financial services. The integration of Aspen in complete as Epsilon’s agency, our strategic consulting and analytic offerings have been merged into Aspen and market traction has been very good. Overall, strong quarter and a good picture of the balance model that Epsilon has built, in spite of some softness in data and the full impact of Aspen’s run-rate, the business maintains robust adjusted EBITDA margins at 24% and that’s a great outlook for 2012. So let’s turn to the next page and just shift to Epsilon’s business model again for a minute. What we’ve been doing is and carefully constructing a balanced scalable business that meets the complex market requirement for the world’s largest most sophisticated global brands. Specifically to bring deep expertise to the days CMO and each of these key categories. Agencies, Data, Database, Analytics and Distribution, covering everything from the development and design of marketing strategies and programs to the real time provisioning of unique offline and online data critical for identifying, understanding and personalizing the treatment of a customer, to the complex large scale database processing and database management platforms that power of loyalty customer retention, prospecting engines. For the complex algorithms and the analytic models that are constantly refined to drive ROY and optimize marketing spend, and to the distribution technologies that enable us to deliver highly targeted relevant communication to all the marketing channels. Whether on the web, in the box, the mail box, the call center, point of sale or mobile device. So we’ve go the ability to offer clients point solutions in any of these key categories but our strategies continues to be to go to market as a comprehensive integrated platform bringing all of those capabilities together. When you think about that from a growth perspective, we look to a balance of number one, adding new client logos. Number two, growing existing client relationships as a need for additional services expand and three, ongoing investments and offerings that address new channels, new applications, verticals or geographies where we can drive strong quality, good marketing results and a steady margins. Whether that investment comes from organic development or through selective M&A such as our acquisition of Aspen. What we are seeing is a demand from existing clients remain strong as to opportunities with new clients such as our recently announced relationship with Kellogg's company. Kellogg's company asked us to build a comprehensive CRM platform to drive personalized relevant data driven brand experiences for consumers in North America, Latin America, Europe and Asia Pacific across the web, email and mobile channels. This one is a good example on the kind of demand for analytics driven, data centric marketing investments from sectors that traditionally invested primarily in general media categories such as TV print, outdoor and in-store trade promotions. Epsilon broad portfolio services and asset along with our global footprint give us a compelling advantage from pursuing, winning and delivering these kinds of solutions, so this is where we can channel our focus. Okay. That wraps up epsilon, lets move on to private labels. Back to Charles.
Charles Horn: Thanks Bryan. Lets flip to page eight and as we pretty much seen all year private label continues its strong 2011 performance with revenue up 11% and adjusted EBITDA net of funding cost up 62% for the third quarter of 2011. Excluding the $9 million mark-to-market gain on interest rate swaps, which lowered funding cost. Adjusted EBITDA net still increased its stellar 52% compared to the third quarter of 2010. Revenue increased 11% despite a 1% decrease in average credit card receivables, primarily because of a higher gross yield. The gross yield is up year-over-year do to program changes made throughout to 2010. And now on the mid 29% range approximate to normal run-rate. The provision for loan lost expense decreased 21% year-over-year to $71 million due to a 230 basis point improvement and charge-off rates. As portfolio quality improves further, the provision rate is expected to decline. Lastly funding cost dropped from the third quarter of 2010 due to a 40 basis point improvements in cash funding rates, lower average credit card balances and the mark-to-market gain discussed before. Looking at the key fundamentals for private level, cardholder spending continue to gain momentum and grew by 10% for the quarter following a 9% gain in Q2 and a 5% gain in Q1. This consisted of 11% growth from our active clients less than 1% drag from terminated defunct clients. Year-over-year, there were solid improvements in most areas of the retail world with specialty retailers showing the largest gains. Average credit card receivables decreased by 1% during the quarter. Customer payment rates moderated during the third quarter in the mid 17% range and in September 2011 finally marched the payment rate of September of 2010. The lack of headwind from the increasing payment rate coupled with continued strong cardholder spending led to a 1% growth in year end credit card receivables. Accordingly we are still targeting 5% growth in year ending credit card receivables as of December 31, 2011. Delinquency rates decreased to 4.9% of credit card receivables, a 120 basis point improvement compared to the same quarter last year. Following delinquency rate are a leading indicator the charge operates will decline in the future. The principle charge operate was 6% for the third quarter of 2011 representing 130 basis point improvement over the prior respective quarter. Our allowance for loan loss reverse of 9.1% of year end receivables is expected to trend down if the charge operates continues to improve. Turning to the next page. I will conclude the private label discussion with a brief overview of customer renewals and signings over the last several months. On the existing client front, we renewed long term agreements with Express Inc, a top ten client of ADS and The RoomPlace. This clears the plate for material renewal set for 2012. In addition we stepped up efforts to grow the credit card portfolio by signing three new clients. The first, we signed a long term agreement to provide private label credit and marketing services for franchise driven pet and animal care retail pet land. We believe this new program can grow to about $60 million file over a three year period. Second, we signed a long term agreement with Marathon Petroleum to provide private label and co-branded credit card services. We will acquire the existing private label portfolio, about $30 million and startup a new co-branded program. We believe the combination of the two programs can grow to about a $200 million file over a three year period. Third, we signed an agreement to provide private label services for Pier 1 imports, and to acquire the existing credit card portfolio, about $100 million with strong prospects for growth. We expect to acquire the file in Q1 of 2012. These new programs coupled with the existing strong fore growth, should drive high single digit growth and credit card receivables in 2012. Let’s split the next page and we will talk about liquidity and capital. At the corporate level, available liquidity at September 30, 2011 was approximately $540 million. Strong financial performance coupled with the recent option of dividends from one of our banks, allowed corporate liquidity to grow over $110 million from the end of Q2, 2011. Our debt levels remain very manageable. The key long-covenant ratio which is corporate debt to adjusted EBITDA was 2.3:1 at September 30, 2011, substantially below the covenant ratio of 3.5:1. During the third quarter, we mended our credit facility to increase the accordion feature fixture by $500 million providing the company the rights to raise an additional $915 million of debt under the terms of existing credit facility. We plan to issue debt under the accordion feature as market conditions permit. Essentially we are looking just to add to our drive power. At the bank level, we have approximately $2.5 billion of available liquidity at September 30, 2011. One conduit facility aggregating $400 million was renewed during the quarter at favorable terms. Regulatory ratios at our banks remain strong with WF&B capital ratios at 15% for tear one, 15% for leverage and 16% for total risk base as at September 30, 2011. Again as in the second quarter, WF&B made a $50 million dividend payment to Alliance Data during the quarter and we expect similar amounts in future quarters. I will now turn to the repurchase program. And as we talked about that before, the repurchase program continues to be one of our anchor strategies. During the quarter we spent $71 million acquiring 800 to 10,000 outstanding common shares. Year-to-date, we have spent $188 million acquiring 2.3 million outstanding common shares. As at September 30, 2011, we have $140 million available to spend under this program through the end of this year. Lets turn to the next page and we will talk about 2011 and our updated guidance. For the third time this year we are raising guidance. Our new guidance of 2011, revenue of 14% to $3.18 billion, 6% better than the original guidance, EPS of 51% to $5.27, 13% better than the original guidance. Core EPS of 26% to $7.40, 10% better than the original guidance. Lastly the year-over-year increase in phantom shares is obviously a drag to our 2011 EPS and core EPS guidance. Without the drag, 2011 core EPS guidance would exceed $7.70. Turning to the fourth quarter, the company expects one, double digits growth in both revenue and adjusted EBITDA. Two, poor earnings up mid-single-digits. Three, core EPS down about 6% to $1.46 compared to the fourth quarter of 2010 due to a high single-digit increase in diluted share count attributable to phantom shares. If we look at expectations by business segments. For lower Q1 we expect revenue up 2% and adjusted EBITDA of 5%. For rewards miles issued we expect it to increase about 5%, though we do expect one headwind which is unfavorable foreign exchange rate which we do expect to be down Q4 this year compared to Q4 last year. For Epsilon, we are looking for revenue growth of approximately 35% and adjusted EBITDA growth of approximately of 25%. Data revenue which about 25% of total Epsilon revenue is expected to be flat or slightly down year-over-year. Private label. We are looking for 5% growth in revenues and adjusted EBITDA net of funding costs. We expect the average credit card receivables will grow about 2% for the fourth quarter. We believe the ending credit card receivables will increase about 5% compared to December 31,2010. We expect principal charge operates in the mid 6% range and lastly as what you saw last year, we do expect a bills and no loss reserve due to the substantial seasonal increase in credit card receivables. Now this a headwind, but as we talked about last year this is timing only. For example, a reserve rate drop of 60 basis points, let’s say we drop from a 9.1 reserve to an 8.5 reserve in Q4, but on a $600 million entry in ending receivables which still create a reserve build of over $20 million. It is timing because as AR build in Q4, 2011 largely benefits Q1, 2012 revenues. So again, we talked about this last year. This will be typical seasonal pattern for us. With that I will turn it over to Ed to talk about 2012 expectations.
Ed Heffernan: Great. Thanks Charles. If we could turn to the slide, this is 2012 terms and expectations, this is where we hopefully give you our view in terms of what we are seeing out there and what our assumptions are in the guidance that we are going to give for 2012. I guess at a high level, we are all reading the same headlines, we are all seeing a lot of the noise that is out there in the market place and a lot of the concern and uncertainty, we can only address it from our perspective and what we are seeing in each of our businesses and it does differ fair dramatically from the headline risk that we are seeing out there and I think a lot of it has to do with the markets we are in and also the type of consumer who is a customer of our clients. And so while there is a lot of risk in the headlines that are out there, as a general statement for alliance I think going into 2012, we don’t see anything of significance that should knock us off or long term growth objectives and therefore we would expect to have a strong 2012 with very nice double digit growth in earnings in free cash flow once again, we feel better about it having been through the great recession of 2008/9 we are – I think the headwinds are quite a bit more challenging and even during the great recession we grew. So we feel that in any environment of very probably weak macro economic trends and high unemployment that once again the markets in which we play and the consumers to whether customers of our clients should give us a very nice run into 2012 and into ’13. So let’s talk a little bit about why that makes sense to us. In terms of trends as you have heard us talk for ever about how we play in the market, all three of our businesses play in the area of $400 billion of annual spend in marketing and advertising and specifically there are all sorts of different pieces that go into that $400 billion, but as an overall trend what we are seeing of course is a continuation of a shift away from sort of the general marketing in toward the very sophisticated direct data intensive targeted marketing which we are glad that is happening because that’s our sweet spot. We specifically play in the direct marketing categories covered under what I call digital and direct. Digital for us would include four areas, we play in permission based email, mobile, social and display and they are growing a combined about 15% plus annually. But let’s not forget, I guess what we would call the old school stuff which is surprising to some, direct mail continues to be a very important channels for a lot of our clients and is growing 4% annually. So overall the markets in which we play are growing a very healthy 7% clip and as we all know it’s a lot more fun to compete in markets that are growing as opposed to stagnant or shrinking. So I think we found a sweet spot in the market and all three of our businesses are heavily involved in both a direct and the digital spaces. Number two, international. Data driven marketing opportunities will continue to expand, we are seeing a lot of interest, a lot of demand on the international front Bryan mentioned earlier, our deal with Kellogg which is a global agreement with Kellogg, so we are beginning the process of following these large global 1000 companies across the foot print, whether it’s in the US or oversees and we expect that to continue as well. We are also seeing more sophistication on the part of consumers and a number of countries and then specifically that leads into what’s going on in Brazil. As Charles mentioned, we couldn’t be happier with how that’s rolling out and we are in two markets right now Bele Horizonte and Brasilia as well as beginning to tap into the various significant household base that Banco de Brazil has client. We will continue those three efforts and we would look in 2012 to also roll into another two markets in brazil, that would give us coverage of about half of what we eventually expect to get in the country. So we are looking at about eight regions that should really complete our average in Brazil. So again it’s a very disciplined phase rollout and right now I couldn’t be more pleased with the results that far. Okay, next again very different from what we are seeing or you are seeing in the headlines is that on the consumer side specifically as it relates to our private label business, you are seeing a very clear distinction between those folks who were not successful not making through the great recession chances are most of them are still not gainfully employed verses those who have made it through the recession and also are benefiting from low interest rates, lower gas prices, lower mortgage rates etc and so what’s developing in the country from what we are seeing is a very distinct bar bell. And that bar bell is broken into as we talked about those who have made it through and are benefiting from additional talent and those that don’t. What happened during the great recession, in we are not alone in this is the fact that it was so deep, so severe that when we would normally write off or charge off or burn off a layer of the weakest credit quality during this great recession, you probably tripled or quadrupled the amount we had to write off. And so what is left is a pristine file of the so called folks who are spending freely. They are also very cautious to about increasing their balances and you know essentially what you have now is we are looking at a super prime portfolio. That is not our intent long term; it’s just the way it is today since all those layers have burned off during the great recession. And you can see that in a couple of things. First, you are seeing very strong spending by the consumer – as Charles mentioned, we are looking at strong double digits spending growth from our card holders which is great, they are slowing beginning to start building balances again, we were down probably the file was down 4% in Q1, it’s now 1% we expect to be up 5% by end year and we should be in the high single digits if not you know approaching 10% in 2012. So we feel comfortable about that and then credit losses which historically you could tie very closely to the unemployment rate we usually traded about 130 basis points higher than the unemployment rate and so that in theory would suggest that we should be at about you know over 10% in losses and in fact we are heading the other way and that is we are 300 basis points or more underneath the unemployment rate and that shouldn’t surprise a lot of folks given the burn off that took place during the great recession. So while some other folks out there have suggested that the loss rates will really begin to flatten out over the next quarter or two verses prior year, we are not seeing that and that is also consistent with what we’ve said before which is during the great recession we didn’t get hit nearly as hard as the general bank cards and during the recovery, our improvement wasn’t going to be as quick as the bank cards, it’s just how the private label works. So we still have a fair amount of room to run on the credit improvement side and that’s why despite the assumption of unemployment hanging up in the nine-ish percent, there is no reason why our losses should not continue to trend downward and we expect that for 2012 as well. And then finally if you got a super prime file where you get strong consumer spend but they are cautious about growing their balances and you get lowering losses and lower funding rates, the question comes how the heck are you grow the file and the answer is we are beginning to see growth resume, again we expect five points of growth over prior year, by the end of this year at the same time, we have had a very successful final push this year with marathon Pier 1 and Petland added to cycle in J. Jill earlier in the year, we’ve got another one signed that we haven’t announced yet. So it’s – the pipeline was very robust and so between the existing and the new we would expect a very strong 2012. Finally, to sum it all up. You’ve got these positive trends, you combine that with – let’s face it, it’s very exciting times if you are borrowing money because it is the lowest rates we’ve ever seen and so that certainly helps us. So you have the positive business trends, you have record low borrowing costs, at the end of the day we feel very comfortable in saying we expect a record 2012. All segments of the business are growing, we once again expect double digits earnings growth and a double digit free cash flow growth. So overall as you can tell we are on the camp of the bullish side. So let’s talk about 2012 critical goals. You will hear us updating these goals as the year progresses, it’s a hardy score card for everyone out there to see how we are doing against our goals. At Epsilon, Bryan, we are asking to bring home double digit top line and adjusted EBITDA. Again Epsilon is probably of our three businesses, the business that is benefiting the most from this rapid shift to the data driven direct targeted marketing spend and especially on the digital. So we would expect double digit top and EBITDA growth there for the first time we expect Epsilon to cross the billion dollar threshold which given where it started a few years ago is quite an achievement. So we are kind of excited about that. If you break it down into probably the different areas of the then Epsilon about three-quarter of Epsilon, we expect to see double digit growth and that would be obviously in the digital agency or creative side, the database and analytics and the digital distribution side. As we talked about, we don’t expect to see much growth on the data side which is about a quarter of the company until people feel more comfortable committing to bigger budgets. But overall, again that is a smaller share of Epsilon. At LoyaltyOne, we expect continued growth there with single digit top line and EBITDA growth in Canadian dollar, we expect which is a critical driver, which is air miles issued. That needs to grow somewhere in the mid single digits to ensure that we have very nice growth going forward. We also got very nice traction this year in signing new sponsors which had been an area where had been a little bit light in prior years. We came back strong this year with the Children’s Place in Zale Canada. We have a fairly robust pipeline. So we would expect two to three significant new sponsors to join the program. There’s still plenty of room up there so we’d be looking at areas primarily liquor, electronics, telecom and health and energy. Brazil, I think we already talked about that. We’d like to see that somewhere between 3 and 4 million members by the end of the year. That would keep us right on track of really cranking this thing up. Private label, we expect cardholder spending to remain strong. In fact the latest numbers we just looked at for the past month or the current month continue to suggest that cardholder spending again at the super prime level is very, very robust. We’re seeing north of 10%, maybe closer to 12% or 13%. So it seems to actually be accelerating a little bit which gives us that warm, comfy feeling for the holiday season. Again that’s just in our little pond in which we play and there obviously are going to be some strains elsewhere in the economy. The portfolio we talked about, we have not had the type of signings that we wanted in the past couple of years until really just recently. You throw in what we signed earlier in the year along with marathon in Pier 1 and you’re talking a really strong 2011 vintage that will ramp through 2012 and give you 4, 5 points of growth right there along with the core of 4, 5 points of growth. Average loss rate, everything we’re seeing suggests that it will continue to drift downward. So we’re looking at continued improvement there down into the mid sixes as Charles said. Funding costs, again a lot of our book is fixed, but we also expect when refinancings come up to actually get a kiss on the refinancings and then 4 to 5 new retailer signings. Again our big push for the next couple of years would be all right. We’ve got tons of liquidity down at the bank level. Let’s start bringing on some new retailers. Consolidated, record revenue, adjusted EBITDA, core EPS, free cash flow and we are targeting about a billion and a half of liquidity at the corporate level by year-end 2012. As Charles mentioned we’re at about half a billion now and we’d like to, along with free cash flow, raise a little bit more for dry powder and really build up the war chest and that will give us lots of flexibility going forward. Again as we talked about in terms of liquidity, there is no specific plan in place. However, these are the times we feel very strongly where the right opportunity could come along, either from an M&A perspective or from a buy-back perspective if there continues to be a disconnect between the market and our performance. 2012 guidance, pretty straightforward. Revenues, we’re closing in on $3.5 billion. Adjusted EBITDA, $1.1 billion and having been here for 13 years, seeing a $1 billion of EBITDA is truly something that I can’t say I ever thought we’d see. Net income, obviously up mid teens. Core EPS also up double digits and again a lot of this, especially when it comes to earnings per share, it’s a little bit skewed obviously because you’ve got these phantom shares that drive everyone nuts that are going to be hedged away and when the converts mature they’re gone. To put it in perspective, right now our phantom shares account for 10% of our 60 million. So as they begin to fade out as the converts mature in mid 2013 and finish up in mid 2014, you’re going to see a real nice bump here and specifically if you were to look at economic shares versus total shares just for 2012, you would see the core EPS not at 830, but almost a buck higher. So it’s a fairly significant drag and when they expire, things should pop nicely. But from an economic perspective, we know what’s going on. Finally, free cash flow, I won’t go through all the ins and outs, but the bottom line is that we are looking at a very strong continuation of our free cash flow growth. Again you’re looking at almost $600 million of pure free cash, almost $10 a share for 2012. That’s our model. Our model again is we’re not out there building a bunch of chip plants. This is a company that can do extremely well with very limited CapEx or in growth markets. I think we’re in the sweet spots of all the markets and therefore we would expect very strong performance. Again if you were to take out the phantom shares, you’d be hooking at growth well north of $10 in terms of free cash flow. So to finish up and we’ll go to Q&A. Even viewed conservatively, you have stock with a 10% free cash flow yield and you’re growing the free cash flow double digit annually despite the macro uncertainty. With that, I’ll just basically say it’s been – it looks like it’s been a heck of a run. We’re going to come in strong in Q4. As Charles mentioned, just recalled that there are very, very significant seasonal factors, timing factors. A lot of it is good news in the sense that we’re ramping up to file quite a bit in Q4. That requires some reserves that reverses in Q1. So that should be a very good roll into 2012. So with that, it was nice to very comfortably raise guidance for the third time and come out with 2012 numbers as our first shot at what we’re seeing and hopefully the trend that we’ve set will continue going forward. So that being said, why don’t we open it up to questions and we probably have about 15 minutes.
Operator: (Operator instructions). Your first question comes from David Scharf with JMP Securities.
David Scharf – JMP Securities: Hi, good morning guys. Thank you for taking the call. A couple of things and I wanted to, I know you addressed the issue of portfolio growth quite a bit and setting aside the new programs. My sense is in the past you’ve always had some segment of your portfolio that was super prime and what I’m wondering is, are the payment rates you’re seeing now overall kind of even higher than what you would see at the high end of your portfolio in the past? And ultimately I’m trying to get a sense for when does this consistent increase in credit sales ultimately result in balances. Or do you think you’re looking at payment rates that are even higher than what your super prime credits had in the past and that it might not translate into as much?
Ed Heffernan: Yes, that’s a great question. Again for those of you who don’t live and breathe this stuff, payment rates basically means our folks paying off a bigger chunk every month and becoming more of a charger as opposed to a revolver or a transactor and what we’ve seen is payment rates have now moved up to the point where they’re actually slightly above where they were at the very peak of very strong economic growth back in 2006 and 2007. So if you consider that the high water mark for consumers feeling really good about things, payment rates are actually a little bit higher right now, although the delta between now and where it was a year ago has pretty much closed and therefore those sales should begin to stick as they have this month. It’s not much, it’s plus one this month, but you should see it starting to stick right now because we have now officially anniversaried and we’re not seeing it creep up much more. So we think if that’s been played out, if you look at consumer revolving behavior out there in the marketplace, it dropped from a trillion to 800 billion and it has been leveling off. So I think we’re seeing sort of the last pieces of these consumers paying off everything every month and what we’re seeing now is a little bit of stickiness and so we would expect to get about five points of growth out of the core and probably another five out of the other files.
David Scharf – JMP Securities: Got you, that’s helpful. Can you also help me, this is more just accounting but I want to make sure I have the allowances correctly because in your press release, it looked like your ending receivables were 4.5 to 6 billion. That was net of allowances and I think in the presentation materials, before allowances it was 4.907. That implies that the total allowances were 381 million at September 30th. Does that sound correct?
Charles Horn: No, it would actually be well over 400. So somewhere we have a disconnect there. It was about 9.1% reserve, David, at the end of the quarter.
David Scharf – JMP Securities: Well, that’s exactly what I was asking because the difference between those two numbers implied 380 million which is a far, far lower provision rate.
Charles Horn:  So I can bridge that for you, I’ll send you something after the call, but the reserve was 9.1% at the end of the quarter.
David Scharf – JMP Securities: Okay, perfect and lastly and within Epsilon, the data services, is that primarily the segment that was acquired from Equifax?
Bryan Kennedy: There’s several pieces in there that it does include the piece that we picked up from Equifax. Actually there was a couple of components from Equifax, a data business as well as a database business. So a piece of Equifax is in that segment, but also a number of prior acquisitions including Abacus if you recall which makes up the dominant amount of revenue in that segment.
David Scharf – JMP Securities: Still does, okay and just kind of curious, Bryan, clearly that part of Epsilon is the most cyclical or the least secular. I guess we’re here and I know you have provided some cautious Q4 guidance and we’re here at the end of October, but have the patterns that kind of kicked in in the summer remained through the end of October in terms of dial back spending? Are there any kind of any rays of light there?
Bryan Kennedy: Yes, David, specifically early in the quarter we saw our clients pull back and that started to stabilize at the end of the third quarter. So I think we are being cautious about the fourth quarter, but the trends are positive. I would also say if you think back to the third quarter of 2010, it was an exceptionally strong growth, actually through the entire back half of last year. And so you’ve got a little bit of a grow over challenge if you think about the market overall and as you said, this is the sector of our client base that tends to be the most sensitive to and reactive to results, news in the marketplace. So we’re confident but we’re being cautious about Q4.
David Scharf – JMP Securities: Okay, thank you.
Operator: Your next question comes from Dan Perlin with RBC Capital Markets.
Daniel Perlin - RBC Capital Markets: Thanks. So I have a couple of questions briefly. The first is on Epsilon’s kind of backlog for database businesses. Where do you guys stand in terms of launching some of these new programs as we think about the first half of ’12 and then can you also comment on the pace of wins there that may be unannounced kind of given some of the things that have recently occurred around the breach? That’s my first question; I’ll follow up with a couple. Thanks.
Bryan Kennedy: Okay. Yes, sure, Dan. First to the question about the backlog. Our backlog both in terms of the pace of clients we’ve brought on board this year versus say prior year has accelerated and what we see rolling into 2012 is pretty much a continuation of that trend. So very strong from the perspective of the pace of bringing on new clients. We also tend to look at the size of our pipeline. Pipeline is actually up significant double digits over where it was last year at this time. So we feel confident about the trend and where that portion of our business is headed. As it relates to announcements, there’s no secret there. This has been a quiet year for announcements, public announcements at Epsilon I think for obvious reasons as you alluded. We’re starting to see that soften up and you should start to see more public announcements as we finish up this year and roll into next year.
Daniel Perlin - RBC Capital Markets: But the pipeline I’m kind of referring to is the one where you actually, either you’re launching these databases and that’s when you can actually start to recognize revenue as opposed to some of the other kind of data which is maybe a little bit more, it bounced around a little bit more. So you’re telling me the pipeline as we think about first half of ’12 for database in launching those new clients which is actually when you can recognize the dollars is strong and better than probably we can even see at this point, or no?
Bryan Kennedy: Yes. That was specifically referring to the database pipeline.
Daniel Perlin - RBC Capital Markets: Okay, cool. Charles, the funding cost expectations coming down for next year, 30, 40 basis points, 50 basis points. Is that still kind of the run rate number that we should be thinking about as we stand here in this current environment?
Charles Horn: Dan, I think conservatively 20 bits, but we’ll look to try to do a little better this year. We’re tracking at 40 bits in Q3. So I think it’s very realistic to do 20 with a target of trying to get up as high as 40 bits.
Daniel Perlin - RBC Capital Markets: Okay and then just lastly on the large sponsor in Canada, the promotional activity that we saw them start to kind of come back to. Is that a benefit as we go into ’12 or have we seen that promotional activity kind of ramp back up to normalized wells and therefore we’ll already enjoy it in ’11?
Charles Horn: It’s when we’ve had some benefit come in through as we talked about on the LoyaltyOne discussion. We’ve been doing quite a bit of one-to-one marketing and in doing the one-to-one marketing we have a little skin in the game, but it’s also allowing them to promote a little bit further. So I do think that that has stimulated some promotional growth but not nearly to the level as what we saw back in 2009, but I do think it’s still some potential going into 2012 and we feel very good about the mid single digit issuance growth guidance and could do a little bit better.
Daniel Perlin - RBC Capital Markets: Okay, but just to be clear, this client in particular was a 4% drag back then and you clearly haven’t recouped all that yet?
Charles Horn: We would not be back to that quite that same level, but we are getting some support from that client.
Daniel Perlin - RBC Capital Markets: Okay, super. Thanks guys.
Operator: Your next question comes from Sanjay Sakhrani with KBW.
Sanjay Sakhrani - KBW: Thank you. Good morning. So just wanted to get a little bit more color maybe from Brian on Brazil and just thinking about earnings implications. I know you guys are assuming pretty high breakage rates, but kind of where does it stand in terms of contribution if we were to assume reasonable rates here and maybe, Charles, when does it actually flow into the P&L as profitable? And then secondarily, I was just wondering, Charles, if you could just talk about the reserve coverage assumptions that you have for 2012 in terms of reserves to charge ups or whatever it may be and then just a yield in the card business? It seems to have held up pretty well or actually it was up a fair amount. So I just want to talk through kind of what was driving that. Thank you.
Charles Horn: On Brazil we’ve done nothing in terms of breakage at this point. We’re still waiting for our two year window to ascertain what breakage will be and frankly based upon split fee versus non-split fee, I don’t think it’s going to be a huge number. So at this point you’re seeing nothing, no benefit coming through in our net loss pickup. On the second list, from the reserve expectation, I think we closed the quarter at 9.1% reserve. That compares to a trailing 12 month charge operate of about 7.5. So we do have 150, 160 basis points difference. Going into next year, we’re going to be again looking at a trailing 12 month charge month off rate. That difference could drop some from the 150, 160 basis points to 121 30 is really going to be dependent upon what the environment we’re operating in, Sanjay. In the third, I think in Q3 you finally saw the final burning of all the changes we made during the course of 2010 on the gross yield. So I think hanging out in the 28% gross shield range will be pretty consistent going forward.
Sanjay Sakhrani - KBW: Okay, great and just one last one. Just in terms of the extra liquidity that you guys are looking to raise, is there anything specific that you would look to allocate that towards or is it just more opportunistic?
Charles Horn: It’s just cash and then any borrowings you have under the revolver you pay off and you’re just keeping additional liquidity on hand. So it’s not going to materially change your leverage ratio. So funded debt, EBITDA would still be about 2.3 x to 1, but primarily you’re just paying off existing debt or you’re adding some incremental cash.
Ed Heffernan: Yes. I think, it’s Ed, Sanjay, I think from the liquidity perspective, given our free cash flow and our growth rate, you’re basically seeing your leverage ratios just coming down naturally from that. Do we have anything major in the pipeline from an M&A perspective? The answer is no. Are there a number of properties that we’re looking in keeping our eye on? Absolutely. We do feel that in this environment there are going to be certain opportunities that pop up. I don’t think you’ll see anything huge more akin to what you’re used to seeing with us. Sort of moderate size type deals, but we want to be ready to go and frankly we prefer that private equity doesn’t get all the nice, juicy stuff. We want to make sure we get our share as well. So think of it as we’re building a war chest. If there’s still a disconnect with certain properties and what we think they’re worth, we’ll probably jump in or if there’s a disconnect with how we think the market is treating us from a stock price perspective and where we think given our growth rates it should be, then we will step in there as well, probably a combination of both.
Sanjay Sakhrani - KBW: Great. Thank you. Good quarter.
Operator: Your next question comes from Robert Dodd with Morgan Keegan.
Robert Dodd - Morgan Keegan: Hi guys. Just looking at the credit sales both, could you give us some color on how that breaks down in terms of between individual consumer retailer relationship? Is it same store, not same retailer spending, but is it same consumer spending growth or where do you stand in saturation versus target share with a given retailer and obviously you’re adding new retailers as well. But can you give us a little bit more color on how that breaks down of where the spending and who’s doing the spending with which retailers?
Ed Heffernan: Well, we’re not…
Robert Dodd - Morgan Keegan: Without specific names obviously.
Ed Heffernan: Yes, but for sure we’re basically seeing and this is fairly typical, Robert, when you have a tougher environment is that the wallet share of the private label card creeps up so that if retailers are putting through comps of 4%, 5% normally or 3%, 4% normally, we’ll capture a bigger and bigger share of that which will get us up to sort of that 8-ish, 8, 9 points of growth because of the increased wallet share and then you’ve got your vintages from 9 and 10 still ramping up, which will add a couple of points and that get you over the double digit level. So it’s a combination of little bit higher wallet share. We have been very effective with our clients at promoting the card and spend and having the clients come on board with promotional programs and the one to one marketing is certainly working. So it’s a little bit of existing cardholder increasing their spend, additional wallet share and then the new vintages. You mix it all in the pot and you get up to sort of that 10% to 12% sales growth.
Robert Dodd - Morgan Keegan: Got it. Thank you.
Operator: Your next question comes from Bob Napoli with William Blair.
Robert Napoli – William Blair & Company: Thank you. Good morning. I understand the phantom shares well, but the question on the – you have two converts. The first one I think the larger one, a little over 800 million you’re going to refinance in 2013. That has an interest rate of 1.75. I think the implied for GAAP is like 11%, but what are your thoughts on the cost, the type of capital you would use to refinance those securities and what’s the associated cost you would expect?
Charles Horn: Sure point, Bob. There could be a little bit of a negative arbitrage on rates, but I don’t think it’s going to be very much. We can do it in a couple of ways. We can do cash, has been a key element based on the free cash flow we generate or it could be cash plus some new obviously bank debt which is fairly cheap, in the lower 2% range, or it could be something where we go up a little bit longer term capital that’s a little bit more expensive, but again not appreciably. I think again based upon our free cash flow it gives a lot of flexibility. So between the combination of both of the converts materially which have an average rate of about 3 and 3.75, I think the ability to refinance both of them pretty close to that range is pretty solid. So overall I’m not looking for any big or any appreciable negative interest rate arbitrages coming from the refinance.
Robert Napoli – William Blair & Company: Okay. So you’re looking at more shorter term funding as opposed to some long term permanent type of debt capital.
Charles Horn: Could be, or we’d just use some of our free cash flow to pay it down and then we use obviously a little bit of longer term debt as well. I mean you still have the ability within our existing facility to go and do five, seven year paper under our credit facility. So I think we can manage it very well.
Robert Napoli – William Blair & Company: Okay. Question on the loyalty program. The adjustments you made earlier in the year, what kind of response, looking at the numbers over the past couple of quarters, it looks like the program, the miles issued have accelerated, the miles redeemed have decelerated which is the mix that you want, but what kind of response have you had from the cardholders and from your clients on the adjustments? I was just wondering if you could talk a little bit maybe about what types of adjustments you made.
Charles Horn: I would say nominal. If you look again, we talked about this program. It is a dynamic program. We’re always making some modifications to improve collector experience as well as to keep it tracking where we want it to be. The only thing I would say that was appreciable that incurred last year within Q4 of 2010 where we started to take expiring active miles which was something we needed to do, but again it’s had nominal effect. So if you look at the changes we’ve routinely made, you still see the issuance growth coming through now. You can see it’s really not had any negative impact to the program.
Ed Heffernan: Yes, I think I’ll jump in with this one. The program itself, the goal is to always make sure that the value on an apples to apples basis is at a significant premium to any other program in the marketplace. So the tweaks that we’ve put in really hasn’t changed the value proposition that much, unlike down here in the States where anyone who has like an airline program knows full well it’s been very painful over the past few years. With air miles, what we’re trying to do is just put a tweak here, tweak there and at the same time as we’ve been saying for years, since we do own the program, the model will not change. Our goal is to make sure that we have 28% breakage rate, a 72% reserve rate and that reserve rate is only at 60% today, but we want to make sure that we can have a premium value program up there, maybe a 20%, 25% more value than the other programs while at the same time making sure we have plenty of cushion when it comes to what we’re reserving and what the ultimate redemption will be. So we haven’t heard any screaming at this point and we expect that to be the case going forward.
Robert Napoli – William Blair & Company: Thanks. Your interest expense was down a lot this quarter from last quarter. Was there anything unusual or is that – was the mix, are there more deposits? What caused the interest expense to drop as much as it did through 2Q to 3Q?
Charles Horn: It’s the change in the non-cash interest expense where we’re netting out that mark-to-market gain on these ones.
Robert Napoli – William Blair & Company: Okay.
Ed Heffernan: Which doesn’t go into…
Charles Horn: For EPS
Robert Napoli – William Blair & Company: And this is a comment out of Citigroup CEO. They took the private label business out of the bad bank and put it back into good bank and explain the reason for that is hey, it’s, that the profitability has improved quite a bit, but said he was seeing that they were seeing demand for private label cards from consumers going up because the general purpose card issuers were offering smaller credit lines and so consumers are – is that what you’re seeing in yard and starting to drive some of the growth? Does that make sense to you or?
Ed Heffernan: No. It’s interesting. I don’t know what to say. Bad bank, good bank, whatever bank, but from our perspective, no, we’re not seeing that. What we are seeing is on a retailer basis. Retailers I think have had enough fun with this, a bunch of core brands and all this general spending type program. They are definitely the demand for very specific marketing programs driven by a private label card which can only be used in that store, has come back in vogue. Again what you’re seeing is, this is the loyalty program for the retailer. The retailers that we’ve been talking to are really quite frankly very, very interested in not only the older school type benefits of distributing one to one marketing to a point-of-sale and call center and direct mail, but permission based email is beginning to catch on and then of course a lot of the other areas within digital, social mobile and display. There’s a heck of a lot of interest in those areas as well and with Epsilon bolted together with private label. Frankly what we’re seeing is hopefully a very unique product offering in the market that gives us a nice leg up on anyone. So long story short is we would probably not agree with the other comment, but we have our own view.
Robert Napoli – William Blair & Company: Thank you.
Operator: We have time for one more question. Your next question comes from Dan Leben with Robert W. Baird.
Dan Leben - Robert W. Baird: Great, thanks guys for squeezing me in. First one for Bryan, could you talk a little bit about the seasonality in the business in Epsilon in the fourth quarter, both agency business and data business, the seasonal strengths there and how that’s kind of impacting the outlook?
Bryan Kennedy: Sure, Dan. Yes, I think that as we grow the business and have grown it through acquisition over the past several years, seasonality becomes less and less a critical piece, but for our data business you see a much higher level of spend in the last half of the year, specifically with respect to the Abacus business and then the other piece that you tend to see in the back half of the year is that as we head into the holiday season our digital business picks up quite a bit of pre-holiday volume. But again once you begin to add all the piece components together, that is increasingly blending itself out.
Dan Leben - Robert W. Baird: Okay, great. And then Charles, you walked through a little bit of the math with if the regulator 8.5 and even with the seasonal increase in the receivables you’d have a $20 million headwind. Are those the assumptions that are embedded into the guidance?
Charles Horn: That’s just an example. Probably wouldn’t be too far off, but it’s just an example.
Dan Leben - Robert W. Baird: Okay and are there any other kind of one-time factors in the 4Q, significant step-down from the third quarter other than just the seasonality in some of these businesses that change and share count up modestly?
Charles Horn: Obviously the biggest change is that reserve build and so last year if you look from Q3 to Q4, the AR did not increase nearly as much as what we anticipate it will this year. So with that higher reserve built against a receivable that’s not yet generating revenue. That’s why you see that pressure come through in Q4 and then as Ed talks about in Q1, you’re not beginning the revenue stream with no reserve against it. So it’s a little bit of a timing issue. It’s a little bit odd but it’s just a quarter gap.
Dan Leben - Robert W. Baird: Okay, great. Thanks guys.
Ed Heffernan: Okay. I think we’re going to cut off there. I know everyone wants to get at it. So again we appreciate your time. Obviously you can tell we’re pretty excited here to finish up the year on a strong note and despite the headlines we are – the bull is riding here in terms of how we think about 2012 and 2013. So let’s look forward to a good finish in ’11 and a strong jump off to ’12. Thank you.
Operator: This does conclude today’s conference call. You may now disconnect.